Hiromichi Matsuda: Let me share with you the results of the fiscal year ended March 2025. Today, I would like to focus on the four points on the slide. First, as KDDI, what we aspire to and our commitment to growth, and I'd like to share with you KDDI's aspiration. Under the current midterm management strategy, we have promoted a satellite growth strategy aiming for growth centered on the telecommunications business while integrating with adjacent businesses. On the other hand, KDDI Vision 2030 is the creation of a society in which anyone can make their dreams a reality by enhancing the power to connect. Regarding the steps to realize this, we need to accelerate transformation through integration of 5G that's in the center, digital data and AI to advance to the next stage of growth. We believe that is important. Towards the next growth, I would like to make the following 2 commitments: First, enhancing the power to connect shown on the bottom. We will establish underlying communications network as KDDI's strong competitive foundation. The second is creating new value with digital data and AI as shown on the top. We will enhance the portfolio by applying them to each business domain. With these 2, we will upgrade the power to connect to a new stage. First, enhancing the power to connect is the core of our satellite growth strategy, our business foundation. So far, KDDI has pursued how to realize better communications. In particular, we have been focusing on the quality of communications. One of our achievement is ranked the world #1 connected experience by Opensignal shown on the left. In addition, as you can see on top, we have over 50,000 sub-6 millimeter wave-based stations, the highest number in Japan. 5G base stations, the number is more than 100,000. And top right, we are the first in Japan to indicate 5G plus to visualize sub-6 millimeter wave communications with highest number of base stations. And we'll be gradually addressing this. The 5G communications is so important. Regarding those devices, we have High Power Use Equipment, HPUE function on 5G devices. And we are gradually rolling out this feature on 5G devices. Sony Xperia was announced yesterday, Mark-7 will be launched in June and the 5G HPUE is available on this device. And down right, shows au 5G Fast Lane, which we announced as a new value in communications. For au 5G Fast Lane customers, relatively more radio resources are allocated. With this technology, we provide more comfortable connection even during congestion. With these, we maintain KDDI's superiority and develop high-quality 5G network and coverage area, which is our competitive edge. We would like to keep taking up challenges for enhanced quality. And KDDI will accelerate communications capabilities. We provide direct satellite and smartphone communication service enabled by au Starlink Direct, connecting the unconnected wherever you can see the sky not only to au, but to customers of all carriers. We are glad to announce that we are having many applications from UQ Mobile and users of other carriers. During the Golden Week holiday season, it was used by about 40,000 people per day. And starting from yesterday, it's compatible with iPhone 13. In June, more than 8 million compatible smartphones will be there. To live up to customers' expectations and trust, we pledge to commit to communications, our core business, refining communications, which is a basis of our service. On top of the high-quality network, we are adding new communications values advancing our multi-brand strategy. Connecting more and always with au is the foundation common to multi-brand, high-quality network. On top of that, with au together with partners, we aim to fully realize new experience values as the main brand values of being reliable, stress-free and put. And with UQ Mobile, we deliver simple and affordable values. And povo is dedicated to online with toppings as you like. And in this way, we would like to build our brand. So we'll be building these 3 multi-brands. On top of that, particularly the key is AI. With the enhancement of AI, we intend to create new values. In the communications foundation that have been built, digital data is accumulated being generated from daily business. As you can see on the bottom, KDDI owns not only online touch points such as communications and services, but also offline channels like au Shop or Lawson. The data generated from the AI will be communicated by what we have. We call this hyper-personalization. So for individual customers for each and every one, providing life support and for corporate customers, transformation of the operating models for each company. We believe we can offer such solutions. This is what we call AI market. We made an announcement. In the early phase of smartphones, the customers probably wondered what they could possibly do. So the selected applications were offered. We launched what we call the au Smart Pass in the early phase of smartphones, allowing users to take applications. And for those customers who wanted to look for and test applications they wanted to use, we created such a place for them to choose apps. We have shared revenues with content providers contributing to apps penetration. And that was a win-win. We want to do something similar in AI. What's great about AI? Customers may be wondering, so collecting such applications and partners who gather in this place, we want them to grow as well, and that's the kind of environment we want to build. Now the other day, we made an announcement about RCS. This is a messaging service. So AI chatbot utilizing RCS, we would like to release this in the near future and making AI something familiar and easier to use. This is for corporate customers. KDDI has touch points with about 400,000 corporate customers and have accumulated a wealth of knowledge for each industry and utilizing those, as you can see in retail, logistics, BPO, starting from those retail operation, labor reduction, customers shopping experience update, we would like to keep refining them. We are steadily building infrastructure to provide AI services. In April, we signed an acquisition contract for the Sharp Sakai Plant land and building, and we aim to bring the Osaka Sakai AI Data Center into full operation within this fiscal year. So the orders have already been placed. We will be planning to start the operation -- test the operation from the middle of the month. And we'll be providing Google Gemini on GPU in Sakai Data Center. For those who are used to development environment for Google Cloud Gemini by using the secure infrastructure offered by KDDI, they can retain data within Japan and utilize AI. In other words, we would like to enable sovereign AI provision. As I shared with you, based on the initiatives I have shared with you, we will advance the satellite growth strategy aiming to grow business and maximizing the enterprise value. By enhancing the power to connect, as shown on the bottom, we will strive to offer better communications value, which is our core as well as strength. And in particular, cutting-edge technology or new business creation, they will be supervised by the President, by me. I will be extensively involved in this. You can see the time line on the X-axis, and we would like to keep working towards next midterm period. So these are the challenges. To succeed in these challenges, we aspire to be a company that inspires passionate challenges. We would like the employees to take up challenges from within, not just employees, but together with passionate partners. We would like to take the challenge of creating future, look forward to KDDI's growth going forward. Next, let me focus on the performance of the fiscal year ended March 2025. Consolidated results for the year ended in March 2025 enjoyed increased revenue and income, a steady progress towards the final year of the midterm management strategy. The left shows operating revenue, which was JPY 5,918 billion, up 2.8% year-on-year. The center shows operating income, which was JPY 1,118.7 billion, up 16.3% year-on-year. The right is profit for the period attributable owners of the parent, which was JPY 685.7 billion, up 7.5% year-on-year. Next shows factors for change for consolidated operating income. Communications ARPU revenues and focus areas grew steadily. Also, Lawson's performance was strong, resulting in increased income. From the left, Group MVNO revenue and Rakuten roaming revenue were minus JPY 13.2 billion year-on-year. Multi-brand communications ARPU revenue were up JPY 6 billion. Financial Business and Energy business combined were plus JPY 17.7 billion. Lawson's equity method income was up JPY 19.4 billion. DX Business Services segment were up JPY 15.4 billion. Others included increase in technology cost. And excluding temporary impacts such as provision for the Myanmar Telecom business in March 2024 period, income increased by JPY 38.1 billion. So this is the review of the fiscal year. As you can see on the left, ARPU revenue continued the trend of revenue growth in Financial Energy business, the Lawson, the Ponta Pass synergy was manifested. DX, centering on the growth areas, year-on-year double-digit revenue increase drove the growth. Right-hand side shows the shareholder returns, where we carried out flexible share buybacks with total acquisition amount of JPY 400 billion in fiscal year ended March 2025. Next, let me focus on the forecast for fiscal year ending March 2026. In this term, we will continue to promote satellite growth strategy, aiming to further increase revenue and profit. The left shows operating revenue at JPY 6,330 billion, up 7.0% year-on-year. The middle shows operating income at JPY 1,178 billion, up 5.3% year-on-year. The right is profit for the year at JPY 748 billion, up 9.1% increase year-on-year. These are the targets. Next is operating income key points in FY March '26. We will aim for business growth centering on increased mobile revenues and DX growth. The main factors of increase were increase in mobile revenues through value-added enhancement, including communications, growth of finance, energy and Lawson and DX growth centered on growth areas as well as the result of technological restructuring. The main factors of decrease were decrease in Rakuten roaming revenue, which we already incorporated in our plan and return to partners, including partner agencies and construction companies as an initiative for the future in order to create a virtuous economic cycle. In Personal Services segment, we aim to enhance the value of connected experience toward business growth by improving lifetime value. On the left, connected experience world's #1 rated communication, and KDDI's unique services will be combined to create new value. On the right, we will maximize revenues by enhancing the value of connected experience and improve churn rate by connecting with customers present and future to further grow communications and value added. Next, I will explain the new definition of mobile revenues starting from FY March '26. With the recent service revision, various values, including Ponta Pass, has been incorporated into the plans. Accordingly, we have changed to mobile revenues, which includes added value that has become inseparable from communications revenue. On the left, mobile revenues increased to JPY 1,850.1 billion in FY March '25 and is expected to grow further in FY March '26 through value provision by integrating communication and value-added. With the service revision, we will redesign our multi-brand strategy and develop attractive plans for each brand that meet customer needs. In addition to improving churn rates by making au more attractive, we aim to enhance our competitiveness through unique value propositions offered by KDDI, such as balanced transition between au and UQ Mobile. au offers reliable and stress-free unlimited data with simple plans where you can choose from freely. The main plans are on the 2 on the left, the new au Value Link Plan and the renewed Unlimited Data MAX+. Our plans include unlimited data usage and other worry-free benefits where you're out of reception range or overseas. As you can see, if you also want the great value of Ponta Pass and visit Lawson frequently, we recommend the Value Link Plan as the difference is only JPY 220. Based on these 2, we offer au Money Activity for those who use au's finance and payment services. And for those who want to enjoy entertainment, we offer plans that combine both contents. UQ Mobile has consolidated its plans into 2 simple and affordable plans. On the left, Komikomi plan value offers an additional 5 gigabyte of data and Ponta Pass with a maximum data capacity of 35 gigabytes. On the right, the popular automatic discount plan, Tokutoku Plan 2 adds 15 gigabytes of data with a total data capacity of maximum 30 gigabytes. In addition, both plans come with access to au Starlink Direct at a discount. We also plan to revise our existing plans, and we'll provide you with more information at a later date. Ponta Pass is one of the values. On the left, the net increase in Ponta Pass since the release in October has been strong at 210,000 members. In particular, the collaboration with Lawson has been a success with the number of users redeeming benefits reaching a total of 25 million, which is a great success. We will further accelerate this momentum and aim to achieve a net increase of 1 million in FY March '26. On the right, we will strengthen the collaboration between Telecom and Lawson. Now Lawson is celebrating its 50th anniversary this year and has been performing well. So collaboration measures with KDDI is contributing to this. On the right, the new management policy, Lawson Group Challenge 2030 sets ambitious goals of increasing daily sales in domestic convenience stores by 30%, reducing store operations by 30% and doubling franchise profit per owner. To help Lawson achieve its next stage of growth, KDDI is committed to further strengthening its partnership and providing support, including technology. In Financial business, we aim to expand our customer base by strengthening collaboration with communications to achieve further growth. On the left, operating income for FY March '25 was JPY 40.6 billion, an increase of over 20%. We grew mainly through au Jibun Bank and credit card businesses using the Money Active Plan+ on the right as a lever where number of subscribers exceeded 1.5 million. We want to further accelerate our growth with the new plans we have just announced. Next, Business Services segment. We will shift our resources to the growth areas based on profitable and robust communication infrastructure, including the high-growth digital infrastructure area in the IT market and aim for high growth. On the left, we will provide ample added value in the growth area, creating a virtuous cycle that improves the lifetime value of communications, which is our base area. On the right, sales in the growth area increased by 17% year-on-year in FY March '25, a growth rate that exceeded the market growth of the digital infrastructure area, which was 8%. We will accelerate even further in FY March '26 by capturing market demand. We aim to achieve double-digit sales growth in FY March '26 by expanding the value proposition in the growth area. High profit margin IoT-related services and data center will lead the growth with a combined revenue increase of approximately JPY 50 billion, a new revenue base such as security, facilities, Starlink, drones and others are receiving strong inquiries, thanks to robust digital demand with a total increase in revenue of approximately JPY 90 billion. Revenue in the base area that supports these will increase through mobile value enhancement. By capturing these demands steadily, we aim to achieve our target of higher profits for FY March '26. IoT and Data Centers will expand globally. On the left, in IoT-related services, we leveraged our strength in operation and monitoring unique to telecom companies to exceed 50 million IoT connections in FY March ' 25 and aim to expand to 57.5 million in FY March '26. In addition, connecting compatible PCs with built-in communication capabilities were released in January of this year and are already on sale from 5 manufacturers. Customers can use the service without being aware of monthly communication charges. We have high expectation of the market growth going forward. We will continue increasing the PC going forward. On the right, connectivity data centers are expanding steadily in each region. In addition, to being #1 in connectivity in Europe, we also became #1 in Thailand just 2 years after opening. We will continue to strengthen our foundation with the aim of achieving revenue of JPY 200 billion. We will and then establish a new business foundation to support the AI era and accelerate our business growth. On the left, regarding security. Following the acquisition of LAC as a wholly owned subsidiary last year, we began considering collaboration with NEC to develop the largest scale cybersecurity business in Japan. Together with NEC, we will combine our strength to jointly build a purely domestic cybersecurity foundation. On the right, we are implementing advanced technologies to solve social issues using drones and Starlink. We will continue to expand into various use cases, including construction, vessel and disaster prevention and contribute to revenue expansion in FY March '26. Next is shareholder returns. In addition to EPS growth, KDDI is also committed to dividend payout ratios and continuous dividend increases. In line with sustained profit growth, DPS has also steadily increased. We aim for DPS for FY March '26 to be JPY 80, up 10.3% year-on-year and 24 consecutive DPS growth. In addition, we resolved to cancel treasury shares over 5% of the total number of issued shares. In addition, the company also resolved to acquire treasury stock totaling JPY 400 billion as upper limit and to make a tender offer for its own shares up to a total amount of JPY 350 billion. Based on what I have explained so far, let me talk about EPS, which is an important target in our current midterm management strategy. FY March '26 is the final year of the current midterm plan, and we have an unwavering determination to continue our target of achieving 50% EPS growth vis-a-vis FY March '19 under the new management structure. By achieving both business growth and shareholder returns, we aim for EPS of JPY 194.38 through 50% growth. These efforts will also result in improved capital efficiency. And we aim for ROE, excluding the financial business to be in the 14% range for FY March '26. Finally, let me talk about our initiatives for the future. Toward the future, we envision it is essential that we take steps to grow together with our stakeholders. We aim to create a virtuous cycle where we continue to create and provide value that is unique to KDDI, which will lead to fair price, which can then return to our shareholders, stakeholders and reinvest in the future. For example, we want to increase Japan's presence in the future by engaging in fair transactions and fair price transfers with business partners and providing operational support to agencies who support telecommunication services. Through investments for this purpose, such as investments in advanced telecom, the evolution of AI and environmentally friendly energy technologies, we will contribute to the realization of a sustainable future. In Expo 2025 Osaka, Kansai that opened in April this year, we will provide opportunities for children, the future generation, to think about the future and take actions themselves in collaboration with Hitachi. We will continue to actively support start-ups. To date, we have supported many start-ups through our corporate venture capital KOIF. From now on, we will pursue scale in addition to quantity and do everything we can to promote the creation of unicorn companies originating from Japan. To do so, in addition to the KOIF we have been providing, we will invest in promising overseas venture funds and ATAC, which has strength in industry academia collaboration in our efforts to grow start-ups. Next, let me explain about the co-creation in our new HQ Takanawa, which we are relocating to this year. The concept of KDDI's new headquarters, which will open this fiscal year is Connectable City that enhances the power to connect and continues to inspire an exciting future. We aim to become a place where not only KDDI Group, but also our customers and partners can come together, exchange new ideas, engage in trial in the era and continue to communicate. Takanawa Gateway City is truly a sandbox for the future, where we will create innovation together with start-ups and other partners and roll out the best practices. For example, we will accumulate examples such as next-generation convenience stores where the first real and tech convenience store will open at our new Takanawa headquarters and the Smart City project we are working on with JR East and develop solutions that contribute to solving social issues as [WAKONX]. Another focus at the new Takanawa headquarters is investment in human resources. As part of our transformation into human resource-first company, we will use the relocation of our HQ as an opportunity to create an environment where employees can take on challenges for success. We aspire to be a company that inspires passionate challenges through work style update by strengthening internal and external collaboration and shifting to well-balanced work style and KDDI job style personnel system. Finally, today's summary. We aspire to be a company that inspires passionate challenges by committing to enhancing the power to connect and creating new values by digital data and AI. And the consolidated financial performance and the shareholder return was explained earlier. As we look to the future, we will continue our initiatives to grow together with all of our stakeholders, and I ask you for your continuous support. Thank you for your attention.
Unidentified Company Representative: We would like to start a meeting on KDDI financial results of the fiscal year end March 2025, followed by the questions-and-answer session. Thank you for joining us out of your busy schedules. I'm your emcee today, Miyakawa from IR department. This meeting is broadcast live on the Internet or Japanese and English simultaneous translation. Please be advised that the meeting will be later made available on our IR website for on-demand distribution. Let me introduce today's attendees Matsuda, President and CEO of Representative Director. Kuwahara, Executive Vice President, Executive Director, Business Solutions sector. Saishoji, Managing Executive Officer, CFO, Executive Director, Corporate Sector, Takezawa Managing Executive Officer, Executive private, personal business sector. Kazuki, Managing Executive Officer, CSO and CEO, General Manager, Corporate Strategy Division. Aketa, Executive Officer, Executive Director, Corporate Management. Seven items are loaded on our IR website 3 related business results all related to the TSE disclosure. Please read the disclaimer document about what's listed in the material performance, including what will be shared during the Q&A and subscription targets. First, President Matsuda will present a summary of the business results followed by the Q&A session. Mr. Matsuda, please.
Hiromichi Matsuda: Thank you for joining our business results meeting. Also if you are very busy schedules, we appreciate your attention before Q&A session, let me share with you main points for the fiscal results. Since Mr. Takahashi, former President has given in the baton, this is the first time that I present the full year results. First, allow me to communicate KDDI's aspiration under commitment to growth, I'd like to be brief. Under the current midterm management strategy, and also the connection to KDDI Vision 2030. We would like to evolve the current strategy, and we want to realize KDDI Vision 2030. The key here is 5G data-driven AI integration with this accelerated transformation. And towards this next growth, we would like to make the following two commitments: First, enhancing the party connector shown on the bottom, we will establish the underlying communication network as KTV strong competitive foundation. And on top of that, on communication, the digital data and AI we would like to create new values. Regarding new values, we will enhance the portfolio by applying them to each business domain. We want to strengthen portfolio, applying these to each of it. And we would like to upgrade the port to connect to a new stage. First in port to connect. I'm pretty sure you're familiar with this. We have been really particular about the quality of communications we were ranked the world's #1 connected experience by April signal. The 5G base stations of over 100,000. And substations are sub-6 millimeter wave base stations. And do we have the highest number here. And 5G plus we already start visualizing this 5G, the when the sub-6 million wave is used in a very easy to see [Manati] customers can see where they are connected. Regarding the 5G fast lane, which we announced as a new value in communication, even during the congestion with this technology, we provide a more comfortable connection. So relatively, the more resources, the allocated to these customers, the quality of communication we maintain KDDI's superiority in the communication quality. Here, in addition KDDI will accelerate communication capabilities with StarLink Director. This is connecting the unconnected wherever you see the sky, not only to AU but customers of all carriers we have dedicated SIM offering this service. And this is the value we can deliver immediately we would like to make this as one of the differentiating factor UQ Mobile and users from other carriers, they are applying for the service. More than 80 million units are compatible with this, we can see this coming in June. And from customers, they have expectations. They have trusted because we have communication quality. We want to be particular about this quality of communication. This is something we want to do, and we want to refine this is the pledge we make. And on top of that, multi-brand strategy, we would like to enhance them further. Connecting more and always with us the foundation common to multi brands. But these are brands with AU, services that are reliable and stress-free. And we would like to pursue them. Communication values are giving here in UQ Mobile, we deliver simple and affordable values to everyone. To broaden the entrance with this UQ, we like customers acknowledge the value pool is dedicated for online. So there will be different kinds of customers with toppings as you like, you can enjoy them. And we would like to build these brands. We redefining, redesigning such brands. Then AI comes on top of this. We have data how best we can be integrated AI web data, that's the key. On the bottom, you can see that KDDI, we are seeing the generation of various kinds of data both online and off-line digital and the physical area, we have touch points by connecting them with AI, we call this hyper-personalization. So by combining them to see on left-hand right-hand side to the customers with this common platform, we would like to deliver these live support for each and every customer on the left-hand side, right-hand side for corporate customers, transformation of the operating model for each company for each industry. Those are the solution we would like to offer. For individuals, we are envisioning AI market. We launched the AU Smart Pass in the early phase of smartphones allowing users check applications without any cap from select us with AI touch points for customers with , we wanted to deliver such places. So providers will come up with those AI services and our customers, we want to connect them and build, we would like to create win-win relations. And to make an eye something familiar, the RCS messaging service has been introduced concerning this AI chatbots in the near future, we would like to release them. You can see that to make AI something familiar, easier to use, we believe that's part of a mission. For corporate customers, KDDI has contacts with about 400,000 corporate customers, and we have accumulated a wealth of knowledge about them utilizing this knowledge, we will contribute to transforming our customers' operating models by each client, each customer, retail, logistics, BPO, you can see those. But in addition to them, we work on close under this brand, we would like to launch them. To support the AI infrastructure. Osaka data center from Sharp. Now we signed an acquisition contract for the Sharp Sakai plant, London buildings. The construction started already. We are a making preparation for full-fledged operation. On top of our GPU, our model, including Liza were built and then offering them to customers, we thought that was one of the pillars for this time, as we already made an announcement, customers who are familiar with the Google Gemini or Google Cloud. On top of our GPU, Google Cloud Gemini can be used. That environment will be prepared. The data remains -- this is retained in Japan, so-called it solving AI provision is now enabled. The satellite growth strategy shows timeline. We will advance the satellite growth strategy. this year and also next year, starting next year for the next midterm management strategy, we would like to create new values that's shown in the schematic view, to realize the business growth of each office. In particular, the cutting-edge technology and the new business creation, they will be directly supervised to buy the President, me. I will be extensively involved in advancing them towards the next mid-term period. To succeed in these challenges, we aspire to be a company that inspires passionate challenges to encouraging each employee to have a sense of challenge from within. So it has to be passionate. Inspire passionate challenges. Next, I will explain the financial results for FY March '25. Consolidated results for FY March '25 showed increased sales and profit. On the left, operating revenue was JPY 5.91 billion, up 2.8% year-on-year. In the middle, operating income was JPY 1.117 billion, up 16.3% year-on-year. And on the right, profit for the year was JPY 685.7 billion, up 7.5% year-on-year. the final year of the midterm plan, we are making progress steadily. Next are the factors for change in consolidated operating income. From the left, Group MVNO and Rakuten roaming revenue were down by JPY 13.2 billion year-on-year. Multi-brand communications ARPU revenues up by JPY 6 billion. Financial business and Energy business combined, up by JPY 17.7 billion equity method investment income of Lawson up by JPY 19.4 billion and DX and Business Services segment, up by JPY 15.4 billion. And with others, such as increase in technology costs, on the far left, you see the temporary impact. This is the temporary impact of the provision for Myanmar telecommunication. But even excluding that impact, it was up by JPY 38.1 billion. Next review of FY March 25, we balanced growth of major businesses and shareholder returns. We also conducted flexible share buybacks of JPY 400 billion. Next, in FY March '26. The forecast for this year, we will continue promoting satellite growth strategy and aim for revenue and profit increase. On the left, operating revenue forecast is JPY 6.33 billion, up by 7% year-on-year. In the center, operating income, JPY 1.178 billion, up JPY 5.3 billion, 5.3% year-on-year. And on the right profit for the year, JPY 748 billion, up 9.1% year-on-year. Next is operating income key points in FY March '26, we will aim for income growth in Personal & Business Services segment. The major factors of in Greece were are listed on the right side, increase in mobile revenues through value-added enhancement, including communications, growth of finance, energy and lower. And DX growth centered on growth areas as well as the result of technological restructuring. The main factors of decrease were decreased in Rakuten roaming revenue and return to partners in order to create a virtuous economic cycle. Now starting FY March '26, we have a new definition of mobile revenues in Personal Services segment. With the recent service revision, various values, including Ponta Pass, have been incorporated into the plans. Accordingly, we have changed to mobile revenues, which includes added value that has become inseparable from communications revenue. Mobile revenues increased to JPY 1.881 billion in FY March' 25 and is expected to grow further in FY March '26. On the right side, we will redesign our multi-brand strategy in accordance with values provided and develop attractive plans for each brand that meet customers' needs. In addition to improving churn rate of AU, we aim for the balance transition between au and UQ Mobile. From the past is one of the values. Net increase in Ponta Pass since the release has been strong at 210,000 members and collaboration with Lawson has been a success. Number of users redeeming benefits reaching a total of 25 million. This year marks the 50th anniversary of Lawson's founding. So with a firm focus on Lawson, we promised to support its next stage of growth through further collaboration with telecommunications and the use of technology. In Financial business, we aim to expand our customer base. Operating income for FY March '25 was JPY 40.6 billion, an increase of over 20%. We grew mainly through [Jibun] Bank and credit card business using the money Active plan on the right as a lever, where the number of subscribers exceeded 1.5 million. Next is Business Services segment. We aim to achieve double-digit sales growth in FY March 26, led by the growth area. High-profit margin IoT services and data centers will realize a combined revenue increase of approximately JPY 50 billion and new revenue base such as securities, facilities, StarLink drones are receiving strong inquiries, thanks to robust digital demand with total increase in revenue of JPY 90 billion. Revenue in the base area will also increase through mobile value enhancement. By capturing these demand steadily, we aim to achieve our target of higher profit for FY March '26. Next is shareholder returns. In addition to EPS growth, is also committed to dividend payout ratio and continued dividend increase. In line with sustained profit growth, DPS has steadily increased. We aim for DPS of FY March '26 to be JPY 80 up 10.3% and 24 consecutive EPS growth. In addition, we resolved to cancel treasury shares over 5% of total number of issued shares. The company also resolved to apply our treasury stock totaling JPY 400 billion as a upper limit and to make a tender offer for its own shares up to a total amount of JPY 350 billion. Based on what I have explained so far, let me talk about the EPS, which is an important target in our current midterm management strategy. March '26 is the final year of the current midterm plan, and we have an unwavering determination to continue our target of achieving 50% EPS growth vis-a-vis FY March '19 under a new management structure. By achieving both business growth and shareholder returns, we aim for EPS of JPY 194.38 through 50% growth. These efforts will also result in improved capital efficiency. And we aim for ROE to be in the 14% range for FY March 26, excluding the financial business. Finally, today's summary. We will create value by focusing once again on the power of communications and further evolving the -- and enhancing the power to connect. On top of this, we will focus on value creation through digital data and AI as the next growth driver. We will also promote efforts to achieve the EPS target, the key goal of the current midterm management strategy. Thank you very much for your attention. We will now take your questions.
A - Unidentified Company Representative: President, Matsuda, thank you. Now we would like to entertain questions from you. [Operator Instructions] SMBC Nikko Securities, Satoru Kikuchi.
Satoru Kikuchi : Thank you. Your presentation I think it was pretty impressive. In EPS, the income, deep growth and also the return to shareholders, share buyback and payout ratio dividend, but everything has already been known actually, something new, it's rather difficult for us to see something new from this presentation. What are your goals? What are your targets specifically?
Hiromichi Matsuda: Perhaps you must -- we might have covered everything, but something symbolic for instance, if you look at NTT Global SoftBank Miyakawa-san on AI, it's easy to see. We don't believe whether they can actually put it off, but that's what they say. Mr. Takahashi, former President, now Chairman, do something symbolic. Lawson. In few years, time whether Mr. Takahashi was right or not. I think it will be evaluated as a result.
Satoru Kikuchi : Something symbolic in a good way, something that you leave as legacy. What are you going to build?
Hiromichi Matsuda: Probably main brand, you strengthen AU or maybe not AU, but something called KDDI X that could happen and the communication to differentiate from the two. That's about the fast lane, and I think that's great. to DX, you have been talking about this for a while. But it looks like there is some lack of results. Revenues, JPY 3 trillion; operating income, is the PA target. It can be numbers something symbolic. You can talk about something symbolic. It can be something about the structure.
Satoru Kikuchi : Please share those with us today because I would like to just take that as a souvenir.
Hiromichi Matsuda: Thank you for your question. You are right. If you look at the business results today, former President, Mr. Takagi, he built the foundation. And that has led to what I shared with you in my presentation. On several occasions, they had a chance to speak. But this foundation, which has already been established, how we can grow them further. That's my responsibility in my role, as I understand. So when I shared with you in my role, as I understand. So when I shared with you, I would I talked about I wanted to commit to 2 things. From customers, they would probably acknowledge that they want the good communication quality and there to see to be business what kind of business do we want to grow in what manner? We have data and AI. So integration of data and AI, I think that's what people generally say, but you mentioned loss already. So far, on top of communication, something that has -- just an ordinary thing, about data, AI layer additionally perhaps can be. Included, can we grow further with that in various kinds of domains, I think it corresponds to each domain under the satellite growth with generic or general foundation, strengthening it further. As a platform, that's something that needs to be done. For each and every bit, how much growth can we envisage? I don't have the exact numbers to share with you at the moment. But was the next midterm strategy, we have to formulate them, of course. Conceptually, we have objective strength, how to capitalize on that communication and on top of that, using data and work with AI. So AI foundation, we have been preemptive and we have been well prepare. That's the structure. I hope you will understand.
Satoru Kikuchi : Second question, and of the basis about the connection, you have good superiority. But regarding the total signal, DOCOMO, SoftBank, they want to be ranked #1 next time.
Hiromichi Matsuda: I don't really think this is the gap that cannot be filled in the next year, if they win a KDDI, your foundation might be lost. And also satellite, in 3 years' time, all the 3 players, we were probably offering the service. So in addition to connection, it will be the next target.
Satoru Kikuchi : To date, might be difficult, but perhaps on the next occasion, you could share that with us. The power to connect to. As the next step as the next target, is there anything that you can really see, please share that with us. That's my second question.
Hiromichi Matsuda: Thank you about our competitive edge. First, concerning the network part. Each company has been really competing with one another, and that's how it should be. Regarding the competitive edge on superiority, one, this is about time or time to market. When can we deliver this to customers. So this is the fast mover, the superiority 5G base stations. We have many base stations are sub-6 area stand-alone, we have been establishing them, and then we are in the beds of competition with intense competition, we would like to do the competition and deliver to the society at like. Next concerns technology. This time, three communication values have been incorporated into the plant. There are lots of new technology. We just not let technology be technology, but in a case, we have plans in such strong ranges, how best we can incorporate technology into those things. We believe that's another axis of competitive edge. So speed time, timing-wise, we don't want to be beaten. We believe that's part of the pillars in terms of competition. We want to do better.
Operator: So next question, please, Nomura Securities, Masuno-san.
Daisaku Masuno : Yes. Masuno from Nomura Securities. I have two questions. So first, about the midterm plan and the current position. So starting with the midterm management strategy. Looking at your company, your feature is you are rather low key, but you're always steady and you always promised realize your promise and have been increasing your profit and sales for 20 terms in a row. So culture is reliable. It can depend on KDDI. So my image is -- the communications revenue, Ponta Pass content, maybe 10 billion plus on profit and financial 10 billion-plus and corporate IoT, data center, 10 billion plus on profit and energy 10 billion plus. So that's 1 billion to 50 billion in total and AI and the technological advancement and cost reduction, possibly 10 billion. So that is 60 billion a year. That's a 5% increase in profit margin a year. And if you do share buyback, 3% reduction in the number of shares. So if you do that, 8% EPS growth. And how many years you can repeat that will be the key. So it's an accumulation of the cycle. So that is the base result if you execute this -- so my question is this kind of bottom-up initiative, do you realize all this? Or are there any new ideas in the next medium-term plan period? So the steady accumulation of the measures and your next move, if you could share with us anything?
Hiromichi Matsuda: Thank you very much. So our steady steps towards the next stage, we have to do that, and that is why we're seeing a virtuous economic cycle and reinvestment. Now as you rightly said, this year's blocks, building blocks, we have to build all these meters EPS need operating income, 60 billion growth is needed in operating income. So we need to break this down and execute the measures. Now each and every measure will grow. There are ones that will continuously grow and other additional measures, and that's why we showed you the time line. In the past, we flowed the fees, and they are now growing and harvesting the finance in Lawson, energy and business segments, Business Services segment. These have been growing, but they all have more room for growth. So it's not just a linear growth. We hope the growth area will grow with the combination of grow faster in the next medium-term plan period. Of course, we have to think this hard in the next 1 year. It's not that we have any magic wand the operating AI can change all of the operated components. And so we want to utilize leverage AI to grow all these.
Daisaku Masuno : Thank you. So towards summer to fall, I think we can exchange views on your next medium-term plan. So I look forward to the next opportunity. Next question, the price revision this time. I've been watching you for a long time, but the existing users' price has changed, and this is the first time in the existing 30 years. You are adding new services, not the revenue. It's the service upgrade. And there is a risk that this may opposition, but Ponta Pass and Starlink and these benefits are included in JPY 300, 3 coins. So I think this is convincing. Of course, we never know until we try, but the consumers, the users, I think, will understand this to a certain extent. So my question is, will change the entire user base. So this will have quite a big impact on the sales and profit. But to what extent? How much is incorporated in this year's plan? Year 1, it's not full 12 months, but what kind of sales and income impact are you anticipating? It's difficult to say this in front of customers. I know, but how much positive plus impact are you thinking of?
Hiromichi Matsuda: Thank you for the question. So the service revision this time, it's not just a revision per se. But the structure for this year is mobile revenues, JPY 30 billion. And financial and energy, Lawson 20 billion level and business services segment, IOT, growth area, growth inclusive JPY 40 billion and the technological advancement, JPY 20 billion. So total JPY 110 billion block. This is the kind of growth we want to achieve. On the other hand, as shown on the right side earlier, Rakuten roaming revenue decreases and the return to our partners and one-off temporary headquarter relocation, these one-off events. So all inclusive, JPY 50 billion, so plus JPY 60 billion will be realized. Now this is the first round. And going forward, we will do further investments and further value creation. So mobile revenue, JPY 30 billion is our forecast. This time, with the service revision, since last year, we've been discussing heavily internally. And as you rightly said, how can this value be convincing and persuasive safe and secure and fast free this out of reception range or overseas or congested area. If it's a value that can offer safe and secure a sense of comfort, we think it will be accepted. So that is how we set this level.
Operator: Next, we have a question, please. Okasan Securities Okumura-san, please.
Yusuke Okumura : Okasan Securities, Okumura-san. About the leverage, what are you thinking about leveraging competitors are making investments have been made a decision with leverage net leverage ratio, what's the cap or what's how would you like to maintain them? If there are no changes, please share with us the background? That's my first question.
Hiromichi Matsuda: Thank you for your question. Regarding this issue net debt to EBITDA times 1.5x, excluding financial business. As KDDI using financial leverage, we would like to allocate more resources for growth towards the next midterm management strategy, we would like to do this exercise. For instance, 1.5x to 2x. That means that there will be some additional JPY 1 trillion, and we would like to use that for investment without fail. Anything else?
Yusuke Okumura : Well, thank you. Some supplementary information about financial business, AU Financial loan-to-deposit ratio, LDR, that's exceeding 100%. Regarding this level for your company, is it something normal or mortgage loan growth? Is it something that needs to be curved? Do you have to be concerned about this.
Hiromichi Matsuda: Right. Thank you for your question. Concerning the ratio, we would like to lower this. The debuted part, we must increase the deposit more. Concerning this, in the past is centering on Jibun Bank, we came up with measures concerning deposits. But in addition to those group as a whole, how best we can increase deposits. We already launched the project using the whole of the group, we would like to acquire more deposit. Second question. Next turn beyond the shareholder return. If possible, could you talk about this time, there was a sales of shares by major shareholders, then the total return was close to 100% limiting what you can use for investments. But next term and then beyond, what would be the balance sheet concerning the investment to the extent possible. Well, return investment, we need to strike a good balance between the two. But as I shared with you, concerning the cash allocation, one is utilizing the financial leverage. That's one. But on the other hand, we would like to give returns to shareholders. And for the including CapEx and M&A and investment for future I think you are talking about the balance there. Here, financial leverage, we would like to put that into the scope of what we can study. Thank you for your detailed explanation. Thank you.
Operator: Next question, please. Daiwa Securities, Tokunaga-san.
Kazuki Tokunaga : Daiwa Securities, Tokunaga. I have two questions. First is competitive landscape. DOCOMO, first, the high price zone raising with DOCOMO and Softbank and Rakuten have not followed suit much. So your price revision the current situation, is it more promising than when you developed your guidance? Or look, you never know until you look at the competitors' plan, the high price plan with UQ, the competitive landscape will change completely. So what is your view on the competition?
Hiromichi Matsuda: So the competitive environment, so personal services segment, Takezawa-san will answer.
Hiroshi Takezawa : Thank you very much. Takezawa from Personal Business Sector. So your question on the competition. We announced and before the DOCOMO made a move, DOCOMO, SoftBank, as Miyaga-san said, the financial results briefing agree in the general direction, as I understand, looking at the right timing. We made the announcement the other day. The new price plan reception has not started. And before that, our current plan is still being received and accepted. So right now, we do not have any traction yet on the competitive environment. Nothing that I can share with you at this point in time. But the purpose of our service revision as Matsuda-san said, we want to set a virtuous cycle, positive cycle and offer value to our customers. We have 3 in communications and to added value. Value Link was established this time. First, we want to deliver this value to our customers, first and foremost. And that's when the competition starts I hope this answers your question.
Kazuki Tokunaga : So regarding UQ, I have a follow-up question. So if Y!mobile does not revise UQ and Mobile competition may change? What do you think about that?
Hiroshi Takezawa : Thank you. UQ. This time, we simplified into 2. One, the stepwise plan is [indiscernible]. And the price we prepared this time, the gigabyte doubled this time, a big jump. And with that, we also attached other values. So quantitatively, plus subscription plus 1 who want to look at just individual ones or in Netflix, I think 20% will come back and still JPY 200 economic benefit. So then, I don't know what they will do. But this time, the plan we are proposing to our customers this time I think, offers a certain amount of value and economic benefit. That is our current view.
Kazuki Tokunaga : My second question is the change in on your KPI. This time, mobile revenues until now mobile and added value or our viewpoint, but those are combined. So mobile revenues, this is not just communications but also the product support and content and financial is singled out. So you changed your KPI. What is your purpose? For example, repair and compensation, product support or content you can add more added value, and there's Ponta Pass. So could you elaborate on qualitative, quantitative reasons of the change, please?
Hiromichi Matsuda: Yes. So let me start. So the service provision this time, the new price plan includes communications and added value, the barrier between the two is disappearing. So how we evolve our plan is 1 key point on CAPAs and subscriptions. We want to stress the added value. On the other hand, value-linked plan will increase its momentum. And so the related added value should be shown in bulk in one group. And that is the reason were the trigger for the change. And financials, because of the business nature, we think it's better shown separately. So we divided that part.
Operator: Thank you. We are running out of time. So next question will be the final question. And just one question, please. [Operator Instructions] Morgan Stanley Securities, Tsusaka-san, please.
Tetsuro Tsusaka : Morgan Stanley, Tsusaka. About KDDI, how to earn? I would like to get your input.
Hiromichi Matsuda: From the equity market, shareholders want certain things. And what you actually implement, they are not always linked. But now if you look at consumers if you can in them with various services in a good way, to offer the values in a bad way, it's just a bundle. The plant will be so limited because they will be bundled and consumers will have to buy something they don't even need. And unless you increase the prices, the population is not actually increasing. So on the part of the consumers, increasing revenues and profit in consumer business would be rather difficult. That's how I look at it. On the other hand, unique to KDDI or unique to telecom operators. Know-how technological progress, networks, solutions or what customers want in the enterprise, if you could sort of address those issues to solve those problems. That's one possible way. What would be the sound way to go for consumers imposing things in a bad way of describing things, this may not really be sustainable. This is how I look at this matter. As long as you can continue, but yes, of course, you can continue. But in the longer term, to transform to society with certain solutions, though if the management resources can be shifted to those areas and then try to make more money. I think somehow that would be healthier, sounder.
Tetsuro Tsusaka : What is -- how do you look at this?
Hiromichi Matsuda: If I could just to say one more thing. On the part of investors, regarding investment in your company stability is one. Many investors want stability. For instance, Lawson's acquisition that happened that later, people may appreciate this, but back they don't want this because for retail, they wanted to make an investment, they cut on that. That's not particularly something they are looking for in KDDI. So that's a kind of a gap. I think we might see that tender gap in the future of capital allocation.
Tetsuro Tsusaka : How to make money, how to grow your business for KDDI for communications to the industry? What would be the optimal -- what is your thinking? Please share that with us?
Hiromichi Matsuda: Thank you. Near the outset of my presentation, I mentioned this combining existing things and making it in a bundle, that's not what we want to do. Once again, about the communication values, we shed light on that are new in the communication history, 3G, 4G, 5G. For customers, what are the values, they have been discussed extensively, but has been launched for 4 years, and then we are looking at the possible next generation, how do we enter into the mature year other technology, there are various signs of technology related to 5G. But how to communicate them or deliver them to customers, there have been some gaps. But by shedding light and communications, the sort of changing the values, we are now talking about the values to the customers, but that's still what the value linked plan is all about. Rather than combining existing things, once again, we want to sort of inculcate the power of communication and other values, we need to continue this 5G SCA or beyond 5G or 6G, what will be about is we won't be able to see them. So we were particular about them in coming up with this. So at the outset, you're talking about bundling existing things and its trend increase. That's not what we wanted to do. We are proud to say that we created new values. And in addition, about ICT solutions, I think it's about the 2B environment, but offering those solutions since we have many touch points, strong touch points with corporate customers. In the ICT, there must be some expected values, not just communications, but on top of that, including AI, we would like to build them and deliver them to customers. With a sense of speed, how best we can pull this off quickly. I think that's really about how we can make money.
Tetsuro Tsusaka : You mentioned Lawson towards the end.
Hiromichi Matsuda: It's not that we wanted to do something retail. Lawson has certain things, including problems. They need to reduce later. They have to do this, and that's an area where we can help them. Also, Lawson is deeply rooted in community in terms of how they deploy outlet stores. There are certain things we can do there. For instance, in terms of processing, not centralize the area processing, but this debuted processing. When that happens, it's also true for our best stations location. It's important. Maybe we can find a good synergy. So inclusive of that we have been looking at Lawson effort. It's not just retail per se, more broader perspective is what we have in terms of our efforts.
Operator: Thank you, Tsusaka san. So with that, since time has come, we would like to close financial results briefing of KDDI Corporation for the fiscal year ended March 2025. Thank you very much for your attendance.